Operator: Good morning, and welcome to the Cabot Oil & Gas Corporation First Quarter 2020 Earnings Conference Call.  Please note, this event is being recorded. I'd now like to turn the conference over to Dan Dinges, Chairman, President and Chief Executive Officer. Please go ahead.
Dan Dinges: Good morning. Thank you for joining us today for Cabot first quarter 2020 earnings call. Before I get into our performance for the first quarter, I'd like to say that our thoughts are with those who have been affected by COVID-19. I want to thank those individuals on the front lines, especially the health-care workers who have been working to keep us all safe during this pandemic.
Operator:  Our first question will come from Leo Mariani with KeyBanc. Please go ahead.
Dan Dinges: You're on mute Leo.
Operator: Leo, please go ahead with your question. Your line maybe muted. Okay. We will just go to the next question. Our question will come from Kashy Harrison with Simmons Energy. Please go ahead.
Kashy Harrison: Dan, in the event, and I know you're  what you can face physically over 2021, but let's just say over a medium term, pick a number of years, the mid-cycle price for gas moves meaningfully higher from here. I'm just wondering how we should think about your medium-term growth rate in a more - in a higher price environment and how we should think about the level of capital required to deliver that growth?
Dan Dinges: Well, it's a good question. And there is a lot thinking about growth with the anticipation of 2021 price may be getting a little bit of a tailwind. We're looking at all scenarios has been our focus is on our current program and 2020 being as efficient as we can possibly be. And just commenting growth in general, if you look at our industry and you take a step back and you look at the carnage that's out there right now, and all that we're dealing with.
Kashy Harrison: That's great color, Dan. Certainly, hope this rally has some legs as this go round. But --
Dan Dinges: .
Kashy Harrison: But I guess then maybe it's still sticking a little bit with that general same topic. I guess, I was wondering if your thoughts on capital returns to shareholders may have evolved over time. Specifically, I know you in the presentation you still highlight, wanting to return at least 50%. But do you have a bias for buybacks moving forward? Or do you have a buyback or maybe more of a special dividend strategy moving forward?
Dan Dinges: Yeah. And you got the tag line there on returning 50% at least to shareholders and even right now we've kind of return what 80% or so. And in the past, we've returned more with the - we bought back about 14% of our shares. We've increased our dividend about five times since 2017. So we feel good about what we can deliver with our program. We referenced a maintenance program for 2021, as an example, to illustrate that we're focused on the financial metrics, but at least a 50% going back and if you look historically, we have delivered more back to shareholders. Our base operation is priority, obviously, for the most part and then maintaining that dividend that we currently have is another important consideration for us, kind of put in, growing the dividend and also obviously we always - we don't have a real - a large amount of debt and certainly don't have much near term but considerations for debt repayment is always going to fall into the mix. But after maintaining the dividend, growing the dividend is a strong consideration. If we saw a sustainable commodity strip and we felt comfortable that layering in a little bit more capital would give us growth into a market that would allow an expected return of that capital before any roll off would occur with commodity price, not in oversupplied and under demand, then we would use some of that capital for that. Then we've always been interested in opportunistic buybacks, if the - if there is a disconnect.
Operator: Our next question comes from Josh Silverstein with Wolfe. Please go ahead.
Josh Silverstein: We like you are bullish on natural gas price for next year. But wondering about why philosophically just not start to layer in some hedges for next year just to protect some of the downside, where it's $2.5 in the curve. Next year, you guys can get plenty of free cash flow at that level. So why not just start layering in at least just an incremental amount?
Dan Dinges: Well, yeah, great question, Josh. And discussion point much our hedge committee. We are and have met recently number of time and not only where we focused on protecting the summer months, which we've done with some hedges. We also had significant discussion about 2021 that our Board meeting yesterday, we talked about the hedge program, what we would like to protect, where we think the market is today and considerable amount of detail. And Jeff Hutton presented the marketing outlook to the Board and talked about where we think the market might go. And so it is a consideration, Josh, we at this stage and looking ahead and what we think the market will do.
Josh Silverstein: Got you. Okay. And maybe just a follow-up to that. How should we try to think about the differential that would occur in the higher Henry Hub price for you guys? This year, your guidance is around $0.30 to $0.35. Do you think that that would hold true as we go up to $2.75 and $3 next year? Obviously, the capacity in the Northeast region has probably loosened up a little bit. So - and any sense as to how differentials can move relative to this year?
Dan Dinges: Yes, always focused on the realizations, and I'll turn this to Jeff and let him make a quick comment. But right now we feel good about where the our dips are in our forecast, which is, you outlined it, $0.35 plus or minus and feel pretty good about where the dips might go from here even with the higher price. But, Jeff, I would like you to make a comment on this.
Jeffrey Hutton: Yes. Josh, this is Jeff Hutton. We're looking at that, of course, daily on the outlook for the ice basis differentials. And quite frankly, we've been very pleased with the differentials seen to fall in line with our expectations and the current basis differentials. I think if anything, if we see a move upward into the $3 area, which we are hopeful for that and you might see a few cents widening on the differential for the total company. But the outlook so far with - at the $2.75 strip is not too far off from the current differentials.
Operator: Our next question will come from Brian Singer with Goldman Sachs. Please go ahead.
Brian Singer: You've highlighted your low cost structure, strong balance sheet, a healthy cash flow at maintenance levels. I wanted to see if you could touch a little bit on your latest thoughts on consolidation. There's a lot of stressed companies out there that could open up assets, like can come for sale over the next year if they aren't already. Can you give us your latest thoughts on the risk-reward of gaining scale in Appalachia versus diversifying versus none of the above?
Dan Dinges: Yes, the M&A conversation is ongoing. As I've said in the past, Brian, and you're totally aware that we have that conversation at our executive session and our Board at every Board meeting. The market, I think, still needs to consolidate, it's been our position for a long time that consolidation would be healthy. The difficult part - each time we grind on it, the difficult part is the debt levels and the debt load associated with the Appalachia peers. It is a significant debt load. The loss some of the market cap through all of this carnage that we've been going through has such a large percentage debt compared to an equity in these companies. And it just makes a combination, if you will, a difficult analysis, particularly for us. It's - we have what we think is extremely good asset. We are cognizant of the fact of any dilution that might occur with a combination. And if you - if it comes with a debt load that we're not prepared to take. And it comes with acreage that each company has some good acreage, but each company has maybe some acreage that that would not line up in our drilling schedule for 20- plus year. So it's difficult. If there were quality assets that made sense, we would always look at that as we've done for years and years and years and years, but also meeting our expectations on what fit for a valuation for Cabot and its shareholders versus what sellers expectations might be. It's always hard to get it lined up. But I'm not trying to dance around the question, Brian. But I think if I could put down the number one reason why it makes things so difficult, it's the drop quality and debt levels.
Brian Singer: Great. Thank you. I totally understand. My follow-up is with regards to the Upper Marcellus.  You provided an update on that on your last call, and I know it hasn't been all that long since then. But wonder if there is any update just on well performance in Upper versus Lower Marcellus?
Dan Dinges: We - as you know, we have only five Upper Marcellus wells scheduled in program this year. I'll let Phil Stalnaker make a quick comment here on the performance of the Upper. But our plan is going to remain as is, that we'll layer in several Upper Marcellus where wells when it fits our operational program on a given pad in the location where we might be able to lay these out. One tidbit of information and then I'll turn it over to Phil, is our programming and looking at the Upper Marcellus and trying to lay out a expansive development program with the Upper Marcellus, again, they're very partially drilled, but looking at it in a way that would allow us to drill extended laterals even compared to our, say, 8,000-plus or minus lateral length today, we'd be looking to develop the Upper Marcellus with longer laterals and that's part of Phil's program. Phil, I'd like for you to make a comment if you would on just kind of what we're seeing in the performance of some of the Upper Marcellus well.
Phillip Stalnaker: Yes, Dan. Again, this Phil Stalnaker. Again, we're pleased that really, really no change from what we laid out there at the end of last year. The wells have been performing as planned, as predicted up to this point. And as Dan said, we are looking out into the future in what is the optimal lateral length with a pretty much a blank slate on the Upper Marcellus and then laying that out to longer laterals and being as economic as possible going forward. So everything is going well.
Operator: Our next question will come from Jeffrey Campbell with Tuohy Brothers. Please go ahead.
Jeffrey Campbell: Good morning and congratulations on the performance in a tough quarter.
Dan Dinges: Thank you, Jeffrey.
Jeffrey Campbell: You bet. In former tough markets, Cabot has increased its ability to sell its nat gas closer to home. Do your selling dynamics look any different? Is it moving to the better price environment in 2021?
Dan Dinges: Yes, it's a good question, Jeffrey. And I know Jeff Hutton is sitting on the edge of his seat to answer that. Jeff?
Jeffrey Hutton: Okay. Good morning, Jeffrey. Yeah. As we - as you mentioned, we have been successful over the years and moving some of our in-basin supply into better markets to different outlets, particularly with Atlantic Sunrise and getting down to the D.C. area and also up to the - over into New Jersey. With the in-basin demand that we've picked up over the last couple of years with the two power plants and some miscellaneous in-basin customers, we've been able to again exceed the in-basin supplier prices that are typical in that neck of the woods. But as we see better pricing and going out into 2021, and with differentials being very close to what they are in this very poor pricing environment, it's encouraging to see that our in-basin supply is one that receive a much higher realization than historically.
Jeffrey Campbell: Okay. Got it. That's very helpful. Thank you. My other question is a lot of the optimism for 2021 seems to be based on lower supply from gas and oil activity. What do you think about demand for 2021, particularly in a recovery period from COVID-19? Thanks.
Dan Dinges: Yes. And thanks for the question, Jeffrey. And I'll flip it to Jeff here in a second. But we're looking at certainly the lower supply and feel like the shut-ins, the frac holidays, the associated gas, reduction - the reduction in capital allocation going forward are all constructive to reduce supply. We feel good about the reduction in supply, and it's going to be somewhere probably between 8 Bcf to 10 Bcf a day reduction in supply is kind of conventional wisdom right now. And we've seen prior to this pandemic coming through and with the start of demand loss, we are actually seeing some pretty healthy demand numbers out there. And I'll let Jeff make his comment on the outlook on both.
Jeffrey Hutton: Yes, Jeffrey, as you mentioned, the situation we find ourselves here today as a result of the virus and the local demand destruction that we've seen, is troubling. I will say that the - there are a lot of positive though that need to be considered and another reason the strip is trading the way it is. As we look at the larger macro view, we are seeing industrial demand down anywhere from 1 Bcf to 1.5 Bcf a day. That's no secret. But we've also seen, as we enter the shoulder months, little bit of demand instruction, as you normally would see it with residential, commercial and the power side. But we do expect the shoulder month was to leave us shortly. We expect industrial demand to pick up here during Q2. But on the most positive side, we've just hit a record on exports to Mexico. And then on the LNG side, yes, there has been a few cargos delayed. But as you look back this year, I believe the LNG export averages are very close to capacity, maybe at least in excess of 8 Bcf a day. So the resiliency of LNG and Mexican exports and the fact that we've been in a slump with the economy, but are taking steps to get out of that slump is very encouraging. So I think on the macro view, with the supply decline, price holidays et cetera, that Dan described and a possibility of a 8, 9, 10 Bcf a day reduction in supply year-over-year from this point in time paints a pretty good picture for 2021.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Dinges for any closing remarks.
Dan Dinges: Well, I appreciate everybody calling in today. And I know everybody is trying to get through this slow period. I think it's been wonderful to be able to watch our team execute almost flawlessly through this difficult period. And the efficiency of Cabot is going to continue and we're looking very forward to the period that we have ahead of us. So look forward to the call next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.